Operator: Thank you for standing by. This is the conference operator. Welcome to Aritzia's Third Quarter 2025 Earnings Conference Call. As a reminder, all participants are in a listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I will now turn the conference over to Beth Reed, Vice President, Investor Relations. Please go ahead.
Beth Reed: Thank you, and thanks for joining Aritzia's third quarter fiscal 2025 earnings call. On the call today, I'm joined by Jennifer Wong, our Chief Executive Officer, and Todd Ingledew, our Chief Financial Officer. As a reminder, please note that remarks on this call may include our expectations, future plans, and intentions that may constitute forward-looking information. Such forward-looking information is based on estimates and assumptions made by management regarding, among other things, general economic and geopolitical conditions as well as the competitive environment. Actual results may differ materially from the conclusions, forecasts, or projections expressed by the forward-looking information. We would refer you to our most recently filed management discussion and analysis and our annual information form, which include a summary of the material assumptions as well as risks and factors that could affect our future performance and our ability to deliver on the forward-looking information. Our earnings release, the related financial statements, and the MD&A are available on SEDAR+ as well as the Investor Relations section of our website. I'll now turn the call over to Jennifer.
Jennifer Wong: Good afternoon. Happy New Year and thank you for joining us today. Our strong performance in the third quarter of fiscal 2025 underscores the progress we've made across key areas of our business. Excluding the impact of last year's Digital Archive Sale and the shift in the timing of our Vancouver warehouse sale from Q3 to Q2, net revenue increased 16% in the third quarter as we drove accelerated momentum in e-commerce and executed on our geographic expansion strategy. Trends accelerated sequentially each month and our performance in November was particularly strong, fueling outstanding net revenue growth that was beyond what we would have expected. The holiday season was off to a great start as we delivered record-breaking results during our Black Fiveday event. Retail sales in both Canada and the United States hit all-time daily highs, with nearly 40% of our stores achieving all-time sales records. E-commerce sales in both Canada and the United States also hit record daily highs. The event generated excitement for our client base and enticed new customers to shop our brand while we benefited from lower markdowns compared to last year's event due to our improved inventory position. Our growth continued to be fueled by our business in the United States, where adjusting for the Digital Archive Sale, net revenue increased 27% in the third quarter. This illustrates the strength of the Aritzia brand and growing affinity for our everyday luxury offering. Our momentum in the United States was driven by further acceleration in e-commerce growth, the outstanding performance of our new and repositioned boutiques, and strong mid-single-digit comp growth in our existing boutiques. Adjusting for the Digital Archive Sale and the shift of our warehouse sale, net revenue growth in Canada was 5%. In November, both our Canadian retail and e-commerce channels started to accelerate meaningfully and were encouraged by this momentum, which has continued into the fourth quarter. In our retail channel, adjusting for the shift of our warehouse sale, we drove a top line increase of 13% in the third quarter. This growth was fueled by the contribution from 11 new and three repositioned boutiques in the last 12 months, the most boutiques we've ever opened in a single year. In Q3, we opened the reposition of our SoHo flagship on the iconic corner of Broadway and Prince Street. We also opened five new boutiques across the United States, including our first boutique in the Kansas City area and our stunning flagship on Michigan Avenue in Chicago. Thus far, in Q4, we've opened our repositioned 5th Avenue flagship in Manhattan near Rockefeller Center, tapping off an unprecedented seven openings in just six weeks. In addition, we plan to open a total of four new boutiques in the fourth quarter, including two that have already opened. I am extremely proud of the work our teams have done this year in executing an extraordinary pipeline of projects, and what I'm particularly thrilled with is the execution of our flagship openings. They're absolutely stunning, meticulously designed to capture the spirit of everyday luxury. Truly next level. The expansive square footage allows us to showcase the depth of our beautiful product in the best possible way, carrying the broadest assortment and offering an element of discovery. The flagships allow us to offer immersive brand moments and create elevated experiences. Even with the expansion, the space feels like a boutique, designed so you can intimately experience the collection. The unparalleled designs are reflective of the neighborhoods they're in, and they're resonating so well. In Chicago, where we renovated a 100-year-old building on Michigan Avenue, we're thrilled to help generate activity and add energy back to the Magnificent Mile, supporting the revitalization of one of the most iconic shopping destinations in the United States. We have a long history of executing with excellence, and our flagships have further demonstrated our world-class capabilities. In e-commerce, adjusting for the Digital Archive Sale, net revenue increased 22% in Q3, accelerating for a third consecutive quarter. This was primarily driven by traffic growth in the United States, fueled by a focus on full funnel marketing and a strong response to our Fall and Winter product. We drove an increase in new, existing, and reactivated customers, illustrating that our investment in digital is paying off. We're extremely pleased with the performance of our e-commerce business, particularly as many of our digital initiatives have yet to reach the customer. To build on our momentum, we remain focused on a number of opportunities to drive sustained growth in e-commerce and elevate our clients' digital experience. These initiatives include an ongoing investment in digital marketing, which is showing strong, positive results across the business as we continue to build on our learnings, a new and improved aritzia.com, which we expect to go live later in the fourth quarter, an enhanced international e-commerce site and improved customer experience that will be rolled out in the first half of next fiscal year, and last but not least, a mobile app, which we expect to launch by the end of next fiscal year. Turning now to product, the strong response to our Fall and Winter assortment was driven by both new styles and client favorites. Our performance was broad-based, from the Effortless collection to The Super Puff and all of our brands, such as Wilfred, Babaton, Tna, and Golden. Targeted product and color drops drove excitement and interest throughout the season with strong sell-through and positive client feedback. Our focus on refining the depth and breadth of our inventory is reflected in our strong third quarter net revenue growth. Our teams worked diligently to ensure we had the right product in the right place at the right time, which enabled us to capitalize on the elevated demand for our product. Due to our improved inventory position, we had a lower mix of markdown sales compared to the third quarter last year, which helped drive continued gross margin improvement. To build excitement and drive momentum around the Aritzia brand, we amplified our flagship openings with our biggest-ever marketing and PR campaign. This included an exclusive VIP first look opening party at our SoHo flagship, which brought together top VIPs, media, influencers, and celebrities, driving brand awareness, fashion credibility, and cultural relevance. This event elevates brand prestige and reinforces Aritzia's status within the global fashion landscape. It garnered media coverage from the likes of InStyle, W Magazine, and L'Officiel. Press and social coverage surrounding the event and store openings reached a combined audience of more than 350 million. Other events and activations for our flagship openings included a Subway takeover at Rockefeller Center, exclusive clientele shopping opportunities, opening weekend gifts, and The Super Puff photo booth. All of our hard work on these iconic flagship locations culminated in a tremendous amount of buzz around the Aritzia brand, helping grow awareness and build brand affinity in the United States, and helping fuel our accelerated momentum in November and into the fourth quarter across all channels and all geographies. Now, let me turn the call over to Todd.
Todd Ingledew: Thanks, Jennifer, and good afternoon, everyone. Our performance in the third quarter of fiscal 2025 delivered strong results on both the top and bottom lines. Trends accelerated sequentially each month of the quarter, and we again delivered meaningful gross margin expansion, resulting in a third consecutive quarter of substantial year-over-year improvement in our adjusted EBITDA margin. In order to provide clear visibility on underlying trends, during my prepared remarks, I will first reference our reported net revenue and comparable sales growth, followed by normalized growth where appropriate, which excludes the impact of the digital warehouse sale in the third quarter last year and the shift of the Vancouver warehouse sale into the second quarter this year from the third quarter last year. Turning to the details of our performance, in the third quarter of fiscal 2025, we generated net revenue of $729 million, representing an increase of 12% from last year. Comparable sales grew 6.6%. Normalized net revenue in the third quarter increased 16%, and normalized comparable sales grew 9.2%. We exited the quarter with double-digit comp growth as trends accelerated meaningfully in November, concluding with a Black Friday event that broke all records. We remain particularly pleased with the strength we're seeing in the United States, where growth in both channels exceeded 20%. Net revenue in the United States increased 24% to $404 million in the third quarter. Normalized net revenue growth was 27%. The foundation of this accelerated performance was an extremely positive response to our Fall and Winter product, fueled by our optimized inventory position. Our performance in e-commerce was further propelled by our investments in marketing, which drove meaningful traffic growth. Strength in our US retail channel was driven by the contribution from 11 new and three repositioned boutiques in the last 12 months. In just the third quarter alone, we increased our total square footage in the United States by 25% as we opened our newly repositioned SoHo flagship, our new Chicago flagship, as well as four additional new boutiques. Finally, strong mid-single-digit comp growth in our existing boutiques also contributed to the outstanding performance in the United States. In Canada, net revenue in the quarter decreased 0.6% from last year to $325 million. Normalized net revenue growth in Canada was 5%. Importantly, in November, we started to see meaningful improvement in both our Canadian retail and e-commerce channels. Turning to our sales channels. Net revenue in our retail channel was $487 million, an increase of 10% from the third quarter last year. Normalized retail net revenue growth was 13%. This was driven by the performance of our new and repositioned boutiques, as well as positive comp growth in our existing boutiques in both Canada and the United States. In e-commerce, net revenue was $242 million, an increase of 14% from the third quarter last year. Normalized e-commerce growth was 22%. We're encouraged by a return to strength in this key growth pillar, where we continue to see opportunity to drive further momentum. We're extremely pleased with our continued progress, as we saw e-commerce net revenue increase by more than 30% exiting the quarter. We delivered gross profit of $333 million, an increase of 23% compared to the third quarter last year. Gross profit margin was 45.8%, compared to 41.5% last year, an increase of 430 basis points. This is despite an 80 basis point headwind from higher freight costs. The increase in gross profit margin was driven by IMU improvements, lower markdown rates, savings from our smart spending initiative, and lower warehousing costs. SG&A expenses for the quarter were $216 million, up 15% from last year. This was primarily driven by variable selling costs associated with the increase in revenue, as well as strategic investments that are fueling our growth, including flagship launches, marketing, infrastructure projects, and technology initiatives. SG&A as a percent of net revenue increased 90 basis points to 29.6%, compared to 28.7% last year. Adjusted EBITDA in the third quarter was $136 million, an increase of 49% from last year. Adjusted EBITDA as a percent of net revenue expanded 470 basis points to 18.7%, compared to 14% last year. This demonstrates our ongoing efforts to deliver multi-year margin expansion and keeps us on track to achieve our fiscal 2027 adjusted EBITDA margin target of approximately 19%. Turning to the balance sheet. At the end of the third quarter, inventory was $462 million, up 16% from last year, closely aligned with normalized sales growth. We're pleased with the composition of our inventory, and we're well positioned to capitalize on the strong demand for our product. We generated $104 million in free cash flow during the third quarter, ending Q3 with $207 million in cash and zero drawn on our $300 million revolving credit facility. As our cash balance begins to build, we expect to use our NCIB to purchase shares opportunistically and offset the dilution of option exercises. In the third quarter, we began repurchasing shares, buying back 134,000 subordinate voting shares, returning $5.9 million to shareholders. Shifting to our outlook. The accelerated momentum we saw in the third quarter has carried into the fourth quarter. Given quarter-to-date trends, we expect net revenue in the fourth quarter to be in the range of $830 million to $850 million, representing growth of 22% to 25% or growth of 28% to 31%, excluding the 53rd week in the fourth quarter last year. Our net revenue outlook for the fourth quarter is based on the strength in the United States and our improved performance in Canada, driven by accelerated e-commerce growth, our boutique openings, and comparable sales growth in our existing boutiques. We expect gross profit margin in the fourth quarter to increase approximately 400 basis points compared to the fourth quarter of fiscal 2024, despite absorbing meaningfully higher freight costs. We forecast SG&A leverage of approximately 100 to 200 basis points in the fourth quarter. This is primarily driven by cost leverage from the increased revenue growth and our ongoing spend management initiatives. For the full year fiscal 2025, we're raising our outlook for net revenue to a range of $2.67 billion to $2.69 billion, representing growth of approximately 15% from fiscal 2024 or growth of 16% to 17%, excluding the 53rd week last year. We continue to expect gross profit margin to increase approximately 450 basis points in fiscal 2025, and for SG&A as a percentage of net revenue to be approximately flat to up 50 basis points compared to last year. We expect adjusted EBITDA as a percent of net revenue in fiscal 2025 to increase 400 to 450 basis points, reflecting the leverage across the range of our net revenue outlook. Our results for the third quarter demonstrate the progress we've made across key areas of our business. Our performance continues to be driven by the strengths in the United States and we're encouraged by the momentum we're seeing in Canada. In addition, our e-commerce initiatives are generating substantial momentum in what is one of our key growth levers, while our retail channel continues to deliver outstanding results. As we finish fiscal 2025, the combination of our anticipated revenue growth and margin expansion will nearly double our earnings this year. Looking to fiscal 2026, we expect top line momentum to continue. This will be supported by the record square footage growth this year, another strong pipeline of boutiques planned for next year, and our ongoing e-commerce initiatives. Further, we expect to continue driving adjusted EBITDA margin improvement with ongoing gross profit margin expansion, as well as SG&A leverage. This keeps us firmly on track to achieving our top and bottom line fiscal 2027 targets. With that, I'll now turn the call back to Jennifer.
Jennifer Wong: Thanks, Todd. In closing, I am extremely proud of our team to have executed at a very high level across the board. 18 months of hard work across product, inventory management, brand marketing, performance marketing and PR culminated in the third quarter to propel our increased momentum. And of course, our distribution center, concierge, and last but not least, our retail team, they all continue to perform at an exceptional level. From our assortment of high-quality, beautiful products and optimized inventory position to our new brand-propelling flagship and the acceleration we're driving in our digital channel, the progress we have made is tangible. I'm pleased to report that our strong performance has continued into the fourth quarter with record-breaking sales over the holiday period. Combined with our strong product position, our investment in opening and marketing the flagship generated tremendous momentum for our brand, starting with the opening of our SoHo flagship and continuing throughout the holidays. Looking to the future, we remain steadfast in advancing our three strategic growth initiatives. First, our geographic expansion strategy has continued to perform exceptionally well, and we have another exciting pipeline of boutiques planned for next fiscal year. Second, we drove a meaningful inflection in e-commerce growth this year and have several initiatives underway to support ongoing momentum in the years ahead. And third, our new boutique and investment in marketing are multi-year levers to help grow brand awareness in the United States, where we continue to have a long runway for growth. We remain confident that our plans for the business will generate long-term, profitable growth and attractive returns for all of our stakeholders. Thank you.
Operator: [Operator Instructions] And your first question today will come from Martin Landry with Stifel. Please go ahead.
Martin Landry: Hi. Good afternoon, guys, and congrats on your strong results. Todd, the first question is regarding your guidance for Q4. You're guiding for a revenue growth of 28% to 31% when we normalize for an equal amount of weeks. So, I was wondering if you could share with us a little bit, what's the comparable sales growth assumption that's behind that revenue growth?
Todd Ingledew: Yeah, absolutely. Thanks, Martin. Nice to hear from you. Our guidance in the fourth quarter reflects trends that were consistent with how we exited the third quarter in November. And from a comp perspective, that puts us in the high-teens. Trends in both Canada and the United States have actually accelerated quarter-to-date. And while we're optimistic about our momentum for spring and the inventory position we're in now and expect to be in at the beginning of February, we thought it was prudent to put our guidance closer to how we exited the third quarter as opposed to the current trends that we're seeing right now.
Martin Landry: Okay. And then I guess to follow up to that question, Jennifer, you've touched on a lot of success factors that are playing out right now. It seems very broad-based. But I was wondering if you could just try to summarize for us, what -- why do you have so much success right now? What's different versus, let's say, six months ago? Because it does seem like a very impressive turnaround.
Jennifer Wong: Thanks, Martin. [indiscernible] We couldn't be more thrilled with the quarter, obviously. When things are going this well, it's usually many things are playing out very well. And so if I just lay out a number of things that all came together in the quarter, it starts with product. So product, first and foremost, is the center of everything that we do. Our product assortment resonated very well with the customer. We had a balanced assortment between client favorites and newness. And then on top of that, we had an optimized inventory. So we had the inventory and the right product to meet the demand. That, in combination with our store openings, record store openings, including the flagships that we opened, the flagships drove excitement and increased brand awareness. And then we capitalized on those flagships with amplified marketing and PR and media outreach, something that we have not necessarily done in the past. And that, in combination with our digital marketing, which fueled traffic to our e-commerce site, and quite frankly, it drove traffic to our stores as well. And then certainly even the weather cooperated. The weather turned favorable for us, which helped with outerwear sales. And then really, as I did mention in my prepared remarks, we had amazing execution in our operations across the board. Every single area of the business executed with excellence. And I often talk about the areas that are more visible to you or to the consumer, but really there was a lot of support functions that fueled and enabled all of the things that we were able to accomplish. And then you bring it all together and we're executing on this during the most important and busiest shopping period of the year, going into Black Friday and going into holiday. So everything came together really well. Couldn't be more pleased. But really, I guess what I'm more pleased about is that it's continued into Q4. That's what's really great.
Martin Landry: Indeed. Well done, everyone.
Todd Ingledew: Thank you.
Operator: [Operator Instructions] And your next question today will come from Mark Petrie with CIBC. Please go ahead.
Mark Petrie: Yeah, good afternoon. I also wanted to ask about the Q4 guide. And I guess specifically, given the stronger top line, what were the factors that held you back from adjusting the margin guidance? And what are you investing in, in Q4, maybe above what you might have otherwise baked into the previous guide?
Todd Ingledew: Yeah, thanks, Mark. So, from a gross profit perspective, we are expecting 400 basis points of expansion, as we said, in the fourth quarter. That is up from our previous guide of 350 to 400, the implied range. And from an SG&A perspective, we did leave it flat at -- flat to up 50 basis points. And we are going to be a little closer to the bottom of that range than the top. But what we're really pleased about is that from an SG&A perspective, we're flipping to 100 to 200 basis points of expansion in the fourth quarter. And we do expect to continue to see leverage in SG&A looking forward into fiscal '26. But we have made the strategic decision to continue reinvesting the leverage that we're seeing today in incremental marketing due to the success we're seeing and, frankly, the momentum it is driving.
Mark Petrie: Yeah, understood. Okay. And I guess that's sort of my follow-up question was just around that sort of pieces of spending for fiscal '26. I mean, you kind of answered it there. But is it the marketing piece that's really sort of still the area of investment? And then it's the other areas where you would expect to be getting leverage?
Todd Ingledew: Yes, exactly. That's 100% correct. It's primarily marketing that we've increased the investments in.
Mark Petrie: Yeah, understood. Okay, I'll pass the line. Congrats on a great quarter.
Operator: And your next question today will come from Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks, and good afternoon, everyone. Happy New Year and congratulations on the quarter. I was wondering if we could spend just a few minutes talking about the new store openings and particularly the flagships, the response to flagships. And I know it's early days, but what has been kind of the biggest surprises and how they've been performing? And how would you categorize the productivity in this larger square footage?
Jennifer Wong: Thanks, Irene. Great question. I've spent a lot of time in our flagships since they've opened. I attended every opening of the flagships this past couple of months, and obviously, we're extremely pleased with the performance of the flagships. They've exceeded our expectations, our initial expectations. When we step back a bit and we look at it holistically, even beyond the financial performance of these stores, they are a brand propelling marketing vehicle for us. They are a beacon for everyday luxury. And they have certainly put us on the map in the United States. But one of the things that was most apparent to me, particularly on 5th Avenue, but in all three stores, quite frankly, is the international exposure. So it's really now putting us on the world stage, not just on the stage in the United States, but a lot of international visitors, particularly on 5th. Visitors that, quite frankly, knew our brand and then were new to our brand. And so I think that is very encouraging. Obviously, these stores are stunning. They're beautiful. They showcase the everyday luxury experience. They offer the broadest product assortment of all of our stores, given the sheer space available to them. And I'm feeling really great about all the work that went into them. It's really been rewarding to see the reactions of people when they walk into the stores. Again, spending the time in the stores, I'm overhearing conversations from our customers. They walk in and they're explaining to their friend that they're with, like, oh my God, what a beautiful store. They're thrilled with the customer service that our staff are providing. And then when you bring it back to the financial performance, the SoHo and the 5th repositions are essentially paying back and tracking close to our standard reposition payback of approximately two years. The Chicago one is taking a little bit longer. We ran into some more complex construction issues as we were building it. It was a 100-year-old building. So again, couldn't be more thrilled overall with all of the things that these flagships are contributing to our business on a very balanced kind of scorecard measure.
Irene Nattel: That's outstanding. Thank you. And a follow up to that. As we look ahead to next year, how should we be thinking about the numbers, new store openings? And I guess maybe taking a slightly longer-term horizon, you've stepped up the number of openings, but also with the flagships and the success. Has it reframed a little bit how your types of locations you're now going for? And again, how should we be thinking about all of that?
Jennifer Wong: Well, we have one more flagship on deck again in Manhattan, our third one. That will be the one that we're building out in the Flatiron neighborhood. That one is expected to open in -- within the first half of the next fiscal year. So we're excited about that one. And beyond that, right now, we obviously are always open and looking for really interesting opportunities. And when we come across those, we will make sure that we share those with you. As it stands right now, we have at least a minimum of 10 to 12 new stores on deck in the pipeline for next year and four to five repositions stated.
Irene Nattel: Thank you.
Operator: And your next question today will come from Brian Morrison with TD Cowen. Please go ahead.
Brian Morrison: Good evening. Happy New Year and lots of positives within these results for sure. I want to drill down on the digital initiatives to start with, because that was really impressive. What's driving that, Jen? Is it products resonating? Is it a halo impact? Is it your digital marketing? And then just to follow on to that, what is the percentage of digital marketing as a percentage of sales? And is 45% as a percent of revenue still the target for you?
Jennifer Wong: Great question. We really focus on digital acceleration this year. It's been about one year anniversary since we hired our Chief Digital Officer. And so the normalized sales growth of 22% in this quarter is really fantastic to see. Essentially, if I just sum it up, it was a traffic story. Traffic drove our growth, but certainly, all of the things that we're doing contribute to it -- contributed to the success of digital. So the store opening helped with that because it creates a halo effect on our e-commerce when we open a new store in a new market. And certainly, the flagships and all of the buzz around the flagship openings and the marketing around that does drive traffic to the e-commerce site. That said, even with the introduction of performance marketing, paid performance marketing this year, which we've talked a lot about, remember we started from pretty much zero paid performance marketing just a little over a year ago. So when you add it all up, it's a very, very, very low single-digit percentage of sales.
Brian Morrison: And 45% still the target for fiscal 2027?
Jennifer Wong: No. Well, that -- we set those targets when we were kind of coming out of the pandemic, and in the pandemic, when digital was the primary driver of our revenue, when stores were closed. And then coming out of the pandemic, as you know, there's been a resurgence and reenergize -- and reenergization in retail. And certainly, our retail is showing that. So I think we've said that. I'd like to see that digital becomes an increasing larger proportion of our total business. I do see it growing to be a larger total -- proportion of our total business. That said, our stores are on fire as well. So quite frankly, we're agnostic to where the growth comes from as long as we're maximizing growth in both channels.
Brian Morrison: All right. And then my follow up question -- thank you for that. My follow up question is, I don't think it would be a call without discussing tariffs. Can you just talk about how you're preparing for the potential impact of tariffs, the undertakings to address? Where is the risk? Is it on imports to the US? Is it de minimis threshold? And what is your current percentage of manufacturing in China? I know you've been moving manufacturing to Vietnam.
Jennifer Wong: Yeah, good question. It is a necessary question, something obviously that we are very closely monitoring. We check in with the trade team almost regularly -- almost harassing them for what the latest news is. The fact of the matter is, as you know, the news is changing all the time. There's a new announcement. There's a new article in the media. There's a new announcement almost every day. That said, for years now, we have been systematically diversifying our manufacturing for years, like I think since the IPO we talked about as a strategy to diversify our manufacturing. What I can say right now is that the great majority of our product is manufactured outside of China. And the other point I'd probably make here is that product quality is paramount. So what is most important to us, even with all of this discussion around tariffs, is that we will focus and ensure and protect the quality of our product. And that means, we partnered and have longstanding partnerships with manufacturers and partners that we know and can count on that produce the quality that we're after. So we're not going to make any knee-jerk sort of changes here. That said, just to give you some color, if there was a 10% increase on goods from China, that would be approximately even less than, but less than approximately a 30-basis-point impact to us. And that is before any further mitigating action. And so given that we have a diversified sourcing strategy, I think we have good things in place that allow us to hedge against disruptions, whether it be a tariff or whether it be some other, like even natural disaster risk, these types of things. The de minimis is a different issue. That's Section 301. The de minimis is a different issue. What I'm hearing is that that is not a priority, although that's something we still talk about, too. What I suppose I'm hearing is that the de minimis may -- there will be changes to de minimis, maybe not immediately, but the changes to de minimis, depending on what the changes are, may or may not affect us. Again, the de minimis right now is $800 and our average value of the transaction is around $200. So -- yeah, $200. So there's room there.
Brian Morrison: All right, thank you very much. Congratulations to you and your team.
Operator: Your next question today will come from Luke Hannan with Canaccord Genuity. Please go ahead.
Luke Hannan: Thanks. Good afternoon, everyone, and congratulations on the results. I wanted to ask about the trends in the Canadian business. If we were to go back a quarter ago, I think things were a little bit less sanguine, maybe, than they were right now. So was there anything specific that you did in order to bring in the Canadian consumer a little bit more often to your boutiques or is it something a broader element that maybe the Canadian consumer overall seems a little bit healthier than they were a couple of months ago?
Jennifer Wong: Thanks, Luke. Yes, we did report coming out of Q2 that the macro challenges in Canada were apparent. We did enter Q3 similar to how we were in Q2. Obviously, trends improved as the quarter progressed, and we saw sequential improvement with each month of the quarter. What I would say is that everything I'm reading, everything that we're hearing about is there's still these challenges in the macro environment. That said, what we were really pleased to see was our customer responding very well to our product assortment. So in terms of what we can control and what we were working on, the product, again, starting with product, the Canadian customer responded very well to our assortment. I believe the marketing that happened in Q3 helped keep Aritzia top of mind with that customer, and when she was ready to buy, we had the inventory to fuel that demand. So, we were kind of, again, prepared and ready on several different points, and that helped lift our Canadian business. So obviously, the US still drives our top line, but it was really great to see the Canadian business improve, and again, especially pleased to see that it's carried into Q4.
Luke Hannan: That's great. Thanks. And then for my follow-up here, Todd, I think I heard you correctly that freight was an 80-basis-point headwind during the quarter. When we think about moving forward, so there's a couple of moving parts. One, you are going to be facing easier comps, I believe, from that perspective, considering I think it was around this time last year that freight began to pick up, but also, I think freight rates in the markets continue to go a little bit higher as well. So can you just help us think about maybe the near-term, the next three to six months, how should we be thinking about freight?
Todd Ingledew: Yeah, absolutely. Thanks, Luke. So yes, we are seeing approximately 80 basis points of pressure in the third quarter. We're forecasting to see that continue into the fourth quarter and, frankly, into the first quarter next year. One of the key components that's driving our freight increases is the fact that we've rerouted almost all of our sea freight through the LA port. And it won't be until we shift back to using Vancouver that we'll see a meaningful reduction in those freight costs. And we don't lap the start of that until it was, I think, May, June timeframe where we started rerouting. So we're looking at likely the second quarter, where by then we're anticipating that the disruptions should be all but done in Vancouver and we'll be able to reroute our shipments there. But the teams have been doing an excellent job to ensure that we have our product on time and we're extremely pleased with how it's worked out from that perspective.
Luke Hannan: That's helpful. Thank you very much, and congratulations.
Operator: And your next question today will come from Stephen MacLeod with BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good evening, everyone, and congrats on a very strong order and very strong outlook. Lots of color so far, so thanks for that. But I just wanted to follow up on two things. So I know you've kind of characterized the Q3 strength as fairly broad-based, which is great to see. But is there any way to quantify, like, how much of that strength and how much of the momentum continuing to Q4 would have been driven by the flagships and the associated momentum and brand awareness around them?
Jennifer Wong: Thanks, Stephen. Again, as I said a few minutes ago, when things are going this well, it is difficult to pinpoint it and isolate any one aspect of it. It is everything working together. It is that cliche saying that the whole is greater than the sum of the parts. And so I -- what I could do is outline what we think are the important components. The first being product, always starts with product. We had a great product assortment. The inventory was optimized. We really capitalized on the excitement and awareness around the flagship opening. One thing that we would say in terms of the momentum and the sustainability of the momentum going into Q4 and further is while this all started during the Black Friday sale period, the Black Friday sale period was only a 12-day period for us. And we go off sale in between the day after Cyber Monday until Boxing Week and then -- and now we're off sale. And remind you we're not a promotionally-driven organization. So when we're off sale -- the sales momentum continued even when we were off sale is the point I'm trying to make here. And so the sales that we were experiencing were good quality sales. And I think at the end of the day, if we're executing really well in all the areas and starting with product, we see this continuing into Q4 and beyond. And again, really excited about what we're experiencing right now and moving into the future.
Stephen MacLeod: Yeah, okay. That makes a lot of sense. Thanks, Jennifer. And then maybe just thinking about -- aligned with that or my follow up, I guess, just in terms of the investments. I mean, I know you made a lot of investments in digital and a lot of investments around flagships that obviously have paid off in consumer response and customer response. Do you kind of expect this to be maybe like a new run rate in terms of marketing spend or is it -- I know you've had a sort of a test and react strategy, so perhaps that's something that you'll implement around this as well. I'm just trying to get a sense of, like, how these investments will continue to roll out and may be over the next, call it, like 12 to 18 months.
Jennifer Wong: Certainly, as it relates to marketing, as we mentioned, we've seen amazing response with the marketing. And it's not really a change per se. It's sort of an evolution of our marketing and the refinement of what we're learning is working, and we're going to continue to employ anything that's working for our business, obviously. That said, the marketing spend is going to remain in the low single-digits as a percentage of revenue. So I'm not worried there at all. But what I think you'll see are some really interesting and creative things coming out of our marketing.
Stephen MacLeod: That's great. Thanks, Jennifer, and congratulations again.
Jennifer Wong: Thank you.
Operator: Your next question today will come from Mauricio Serna with UBS. Please go ahead.
Mauricio Serna: Great. Thanks for taking my question, and congratulations on the results. I was wondering if you could talk a little bit more about the sequential acceleration that we saw month after month. And it seems like that was also like broad-based. Maybe could you talk about what do you think were, like, the factors in each market that drove that? And just a follow up on the gross margin and Q3 performance, could you provide like a breakdown of the drivers behind the 400-plus expansion that we experienced in the quarter? Thank you.
Jennifer Wong: I'll take the first half of that and I'll let Todd take the second half of that. As we reported, the trends accelerated sequentially in each month of the quarter. And in particular, really accelerated in the third month of the quarter. Again, I know it sounds like a broken record, but it was broad-based. Everything was performing. As I said, the top line performance is driven by our US business and has been now for a couple of quarters. E-commerce contributed to the top line probably next. And then we saw comps -- even comps in our existing stores in the mid-single-digits. That contributed. And then certainly Canada came online partway through and into November and that continues. So every single dimension, regionally, channel-wise, it's all performing. But at the end of the day, it's driven by all of our growth in the US and the new store openings that we've made in the last 12 months. And really excited to see that this is going to continue into the fourth quarter.
Todd Ingledew: Great. And from a gross margin perspective, we're extremely pleased to have delivered the -- it was actually 430 basis points of gross profit margin expansion in the third quarter. And again, we're projecting 400 basis points of expansion in the fourth quarter, which is delivering the annual number at an increase of 450 basis points. So, extremely pleased with how that has been moving along through the quarters. The drivers really are the same as they've been. Though IMU improvements, lower markdowns, ongoing spend management, lower warehousing costs in the quarter, all four of those items continue to deliver the gross profit margin expansion. And that 430-basis-point improvement, as we were just talking about, was actually delivered despite all of those higher freight costs that I've described. So we're extremely pleased with what we're seeing. And the actions that we're taking are driving meaningful improvement and we expect to continue to see improvement next fiscal year as we move into FY '26.
Mauricio Serna: Great. Just one quick follow-up on the guidance for Q4, the sales guidance. I think you mentioned earlier in the call that that includes roughly high-teens comp. I just want to make sure that's like a total comp for the company or is that US? Thanks a lot.
Todd Ingledew: Yes. Thanks, Mauricio. That's total comp. So retail, e-comm, Canada, US combined, we expect high-teens comp growth.
Mauricio Serna: Awesome. Okay, great. Congratulations, and thanks again.
Operator: And your next question today will come from Dylan Carden with William Blair. Please go ahead.
Dylan Carden: Thank you. Just another point of clarification on the guidance, Todd. You mentioned earlier in the call you thought it was more prudent to put guidance to how you exited the quarter as opposed to current trends. I just want to just make sure, does that imply that things have decelerated or is that just simply that you're sort of no longer in holiday period? I just want to kind of suss that out.
Todd Ingledew: No, the opposite, in fact, is that we have seen trends accelerate into the fourth quarter and continue through to today. However, just given the fact that we are still coming up to our spring launch, we felt that it was prudent, as I said, to guide more closely with the rate that we exited the third quarter in November.
Dylan Carden: Excellent. Thank you. And then for modeling purposes, as we kind of look to next year, I know you're not going to give, obviously, guidance, but how are you at least thinking about productivity of these new larger format stores? I know that you haven't had a long run with them and it's been holiday and you've promoted them, but at least sort of conservatively, how should we think about their productivity on a square foot basis? Thanks.
Todd Ingledew: Yeah, I mean, we haven't provided that specifically, but I think what I would say is that it's not just the flagships. We're delivering, in this last year's case, 11 other new stores in this fiscal year, along with the one new flagship and then the three expansions and repositions. As far as the growth goes, that's building a fantastic base for our growth for next year. It's 25% square footage growth that's heavily weighted to the back half of the year. And so that's going to create a great base looking forward. And then, as Jen noted, we have a strong pipeline next year as well that will layer in to that growth. But we expect, from a productivity perspective, to continue to see the strong productivity, frankly, on a sales per square foot basis that we've enjoyed in the past.
Dylan Carden: Awesome. Thank you very much.
Operator: And your next question today will come from Michael Glen with Raymond James. Please go ahead.
Michael Glen: Thank you for getting me in. Just a question on the mobile app. Are you able to indicate what we might see as this mobile app comes up? Would you expect a meaningful uptick in e-commerce sales to result as you get the mobile app up and working?
Jennifer Wong: Thanks, Michael. Good question. I'm really excited. Of all the initiatives, I'm probably most excited about the mobile app. It is the one with the longest build time. That said, I view the mobile app, this will be our digital flagship. And I envision a meaningful amount of digital business running through this channel. Some of the things that -- I won't share here what we've got going because I want to unveil it closer to the time, but the team has really conceptualized creative, innovative app that I think will differentiate Aritzia in terms of our digital. It's going to connect the customer across our ecosystem, stores, and digital. We envision more frequent engagement from our customers with this. There'll be endless inspiration and content. There'll be end-to-end personalization. Some really exciting and some really cool stuff. And so, as I said, with all of the talk about our physical flagship, we can think of this mobile app as our digital flagship.
Michael Glen: Okay. And the inventory system or inventory management system that you would have underlying and how the mobile app would interact with your current warehouse and omnichannel, like, do you have everything in place for inventory tracking or inventory software that you need with this new app?
Jennifer Wong: Well, that's a really interesting question. We're -- our platform that we're on, our ERP is SAP, and that's something I'm very proud of that we put in back in 2008. And we -- that was a strategic decision to put that in place way back then because we knew that it would support any strategic sort of decision that we might have made in the future, whether it was in retail in our stores or if it was something -- it allowed us to go live with e-commerce in 2012 without having to change a bunch of backend infrastructure. So all of the backend infrastructure that's required to support the selling aspect on the app and, quite frankly, in our digital business period, even aritzia.com, all in place. All in place.
Michael Glen: Okay. Thank you for taking the questions.
Jennifer Wong: Thank you.
Operator: That concludes the question-and-answer session. I will now turn the call back to Beth Reed for closing remarks.
Beth Reed: Thanks, everyone, for joining us today. We're available for any follow-ups. And have a great evening.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.